Operator: Good morning, ladies and gentlemen, and welcome to the Shawcor's First Quarter 2021 Results Conference Call. At this time, all participants are in listen only mode. Later, we'll conduct question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Meghan MacEachern, External Communication and ESG Director. Thank you, please go ahead.
Meghan MacEachern: Good morning. Before we begin this morning's conference call, I'd like to take a moment to remind all listeners that today's conference call includes forward-looking statements that involve estimates, judgments, risks and uncertainties that may cause actual results to differ materially from those projected. The complete text of Shawcor's statement on forward-looking information is included in Section 4.0 of the first quarter 2021 earnings press release that is available on SEDAR and on the Company's website at shawcor.com. I'll now turn it over to Shawcor's CEO, Steve Orr.
Steve Orr: Thank you, Meghan. Good morning and thank you for joining us on this morning's conference call. This morning, Meghan and I are joined by our CFO, Gaston Tano and President, Mike Rees. Before talking about our business, I would once again like to express my deep appreciation for every member of the Shawcor team. While we see indications of a return to relative normality in many countries as vaccination rates rise, there is no doubt that employees across this organization continue to face substantial challenges on a daily basis. I'm so grateful for their commitment to keeping each other healthy and safe while continually meeting the needs of our customers around the world. Yesterday, we released our results for Q1 2021. During which, the Company generated adjusted EBITDA of $19 million on revenue of $279 million. Revenue declined compared to Q4 2020, driven by normal seasonal slowness in composite tank shipments and lower levels of pipe coating activity, which were expected, but amplified by impacts from acute U.S. winter weather and some project timing delays. Conversely, continued strong demand for heat shrink tubing and premium wire and cable products drove another record quarter within the automotive and industrial segment, which included the capture of a substantial communication cable supply contract; the largest single customer contract in the history of this business. At quarter end, the Company's backlog stood at $521 million, an increase of $68 million or 15% from the end of 2020. This growth was a result of very strong underground tank storage orders, lower-than-expected backlog burn within our pipe coating business and an increase in orders within other parts of the organization. Focus on cost management and restructuring activities continued during the quarter. With Shawcor salaried workforce now 25% below Q1 2020 levels. SG&A expense in Q1 was below our previously communicated $60 million per quarter run rate and included receipt of $1.4 million in Canadian government subsidies. Excluding government subsidies, we now anticipate SG&A expense will average $55 million per quarter during 2021. Top performing investment decisions limited capital spend during the quarter to $4 million. Our full year CapEx spend guidance remains unchanged at $40 million to $50 million. During Q1, we announced that our pipe coating facility in the U.K. will close after it complete execution of the Baltic Pipe project. With the U.K. facility closure announcement, Shawcor has now completed or initiated seven pipe coating facility exits during early 2020. Sorry, I apologize since early 2020. We will continue to assess further footprint optimization opportunities to lower our cost base while retaining the right capabilities in strategic locations to meet future market demands. Entering Q2, despite lingering impacts from COVID and industry-wide polymer supply chain interruptions, I anticipate a step-up in revenue and earnings, driven by continued strength in demand for automotive and industrial products, a rebound in composite tank shipments tied to seasonal construction activity and execution of scheduled pipe coating projects. This organization remains intensely focused on those variables we can control. With our priorities unchanged from those that I shared last quarter. Number one, protecting the health and safety of our employees; number two, delivering the products and services needed by our customers; number three, strengthening the balance sheet and conserving cash and; number four, capturing our share of increased customer spend. Although exact timing of pipe coating projects remain subject to change and some volatility quarter-to-quarter is inevitable. In line with our previously communicated expectations, we remain confident that 2021 full year adjusted EBITDA will be higher than 2020. This will be driven by the execution of pipe coating work secured in backlog, continued strong demand within our non-oil and gas businesses and the expected reduced quarterly SG&A expense run rate. We also remain confident that Q1 results will ultimately prove to be the lowest of the year. Shawcor's diverse priority, including early and late cycle oil and gas exposure and a strong non-oil and gas component has enabled the Company to weather recent market challenges and emerge a stronger, more profitable organization, ready to create and secure opportunities as spending recovers in the energy, transportation and infrastructure markets. Mike will provide more detailed comments later in this morning's call, and I will now turn it over to Gaston Tano, Shawcor's CFO, to discuss the numbers. Gaston?
Gaston Tano: Thanks, Steve. As Steve mentioned earlier, operational results in the current quarter reflected continued strong performance across the Company's non-oil and gas businesses offset by lower levels of pipe coat activity due to the delays from COVID-19 and weather-related supply chain interruptions and other customer induced reasons. Consolidated revenue in the first quarter was $279 million, 12% lower than the first quarter of 2020. The Pipeline and Pipe Services segment revenues decreased by 20% compared to the prior year quarter, primarily due to the absence of $29 million of revenues related to the products business sold in December 2020. Excluding the impact of the product business, the decrease in the segment's revenue reflects lower pipe coating activity in North America, resulting from COVID-19 pandemic and weather induced supply chain interruptions; partially offset by higher activity levels in the EMAR region. The Composite Systems segment revenues decreased by 20% compared to the first quarter of 2020, primarily due to the continued lower demand for our composite pipe products as a result of the continued capital discipline focus of exploration and production operators, partially offset by slightly higher demand for our composite tank products despite the typical seasonal low activity level and some customer induced delivery devices due to weather. In the automotive and industrial segment, revenues were higher by 28%, primarily due to stronger demand for automotive heat shrink products across all regions and contributions from infrastructure spending on communication, transportation and nuclear refurbishment projects. Consolidated results in the first quarter were impacted by nonrecurring items outside of the Company's normal course of business. The current quarter includes $3.4 million of net restructuring costs as a result of the ongoing cost-saving initiatives completed in the quarter, including the recently announced closure of our pipe coating facility in Leith U.K., following the completion of the Baltic Pipe project and a loss of $1.1 million for Argentina hyperinflationary accounting. The prior year first quarter was negatively impacted by $203 million of impairment charges and a loss of $0.5 million for Argentina hyperinflationary accounting. Adjusted EBITDA for the quarter was $19 million, significantly higher than the $4.2 million reported in the first quarter of 2020. The increase is primarily due to strong performance in the Company's non-oil and gas businesses and improved profitability in our Pipeline and Pipe Services segment, reflecting the reduced operating cost base from the completed cost control initiatives and facility closures. The decrease of $22 million in SG&A compared to the first quarter of 2020 reflects the absence of $5.7 million related to the projects and the positive impact from the cost-saving initiatives completed to date and the continued discipline in managing discretionary costs. The current quarter also benefited from the receipt of COVID-19 related government subsidies of $2.4 million, of which $1 million was recorded cost of goods sold and $1.4 million in SG&A expenses. Adjusted EBITDA margins for the first quarter were 7% compared to 2% for the prior year first quarter due to the reasons mentioned earlier. The Pipeline and Pipe Services segment margins increased to 3% from a negative 4% in the prior year, reflecting the lower operating cost base. The Composite Systems segment delivered 12% margins, which was in line for the first quarter of 2020, and the automotive and industrial segment margins increased to 20% compared to 18% a year ago. Turning to cash flow in the quarter, cash flow used in operating activities for the first quarter was $19 million compared to $100,000 provided by operating activities in the first quarter of 2020. This variance is primarily driven by a net change in noncash working capital and foreign exchange, offset by lower net losses, less noncash items and increase in other items. The change in non-cash working capital in the quarter with a cash outflow of $21 million, which includes $4 million decrease in restructuring liabilities, this working capital investment in the quarter reflects higher accounts receivable due to collections related to pipe coating activity being delayed to early April, higher inventories from seasonal buildup in composite tanks and higher demand, automotive and industrial segment and lower accounts payable related to the timing of purchases and payments. Cash provided by investment activity in the first quarter was $5 million, reflecting $6 million from investment from associates and $2 million in proceeds from disposal of property, plant and equipment, partially offset by $4 million of purchases of property plant equipment. The prior year quarter had $0.3 million used in investment activities, reflecting $10 million in purchases property plant equipment offset by $9 million from investment associates. During the first quarter, cash used in financing activities was $6 million, reflecting the payment of our quarterly lease obligations. This compares to $17 million used in the first quarter of 2020 that reflected the payment of dividends of $11 million and repayment of lease obligations of $6 million. Net cash used in the first quarter in 2021 was $20 million compared to $12 million in the first quarter of 2020. With respect to cash and debt, the Company has a cash balance of $194 million, debt of $434 million and $41 million of standard letters of credit as at March 31, 2021. The Company's liquidity position has benefited from the significant initiatives completed in 2020 to reduce cost and generate cash to address the uncertainty caused by the COVID-19 pandemic and the rapid decline in oil prices a year ago. The Company continued additional actions during the first quarter of 2021, which resulted in further reductions in salaried workforce, bringing the total reduction to over 25% since March 2020 and announced the closure plans of its pipe coating facility in Leith U.K., as mentioned earlier. Based on actions completed and its outlook, the Company expects to generate sufficient cash flows and have continued access to its credit facilities to fund its operations, working capital requirements and capital program. With this confidence, the Company repaid $75 million against its outstanding debt under its credit facility in late April, which will result in reducing the financing costs for the remainder of the year. I'll now turn it over to Mike Reeves, Shawcor's President for some additional commentary on the Company's performance and outlook.
Mike Reeves: Thank you, Gaston. I'll first start by providing additional details by segment. Our Pipeline and Pipe Services segment revenue during Q1 fell by $45 million or 24% compared to the fourth quarter of 2020, driven by expected pipe coating activity declines as projects were completed and our facilities awaited the start of pending projects. As we've discussed many times, Shawcor's pipe coating business is tied primarily to the timing of offshore pipeline projects being sanctioned, which inherently leads to volatility from quarter-to-quarter. In Q1, these normal project timing effects were compounded by some limited business interruption impacts from extreme U.S. winter weather and deferral of multiple smaller pipe coating projects in Latin America, which will now commence in Q2. The second and third quarters of 2021 will see higher levels of pipe coating activity before another project scheduling loll likely occurs later in 2021 and into early 2022. During the quarter, Shawcor publicly announced a substantial contract award pending FID from a major North Sea operator for our proprietary ultra pipe coating technology. Additionally, our unique LotusFlo internal pipeline coating, which improves fluid flow efficiency, saw strong interest from multiple customers. Both of these technologies were discussed on our last call and are compelling examples of the value our customers receive from Shawcor's investment in research and development across all business segments, which remains a core element of our strategy. We continue to make progress on reducing the cost structure of the Pipeline and Pipe Services segment, including initiating the shutdown of our Leith, Scotland pipe coating facility during Q1, which will be completed by year-end. Including this exit, we have reduced our pipe coating facility footprint by seven fixed plants since early 2020 and continue to assess other optimization opportunities within our international infrastructure. Nevertheless, we are intensely focused on continued provision of world-class service and value to our customers from a highly cost efficient, strategically located footprint. Our Composite Systems segment is primarily influenced by two market forces. The first is demand for premium underground storage tanks within the North American retail fuel and water management sectors. The second is demand for reliable, spoolable composite pipe to connect newly completed oil and gas wells into existing processing and storage infrastructure. First quarter composite Systems segment revenue fell by $9 million or 11% when compared to the fourth quarter of 2020. This movement was driven by higher sales of composite pipe to operators in both Canada and the U.S., offset by lower shipments of tanks, which is typical during the winter months where frozen ground conditions make excavation more challenging. Entering the second quarter, we have already seen the expected ramp-up in shipment of composite tanks as retail fuel construction activity picks up. Tank inventory, which was strategically prebuilt in late 2020 and early 2021 will ensure Shawcor is able to meet continued robust demand despite the industry-wide resin supply chain difficulties, driven by damage to some of our vendors facilities during the recent severe U.S. winter weather. These supply chain challenges will likely persist into Q3. However, while Shawcor is not immune, we believe we are favorably positioned to navigate these circumstances given the diversity of our supply chain. Raw material supply constraints have driven cost increases, which Shawcor is generally able to pass-through to customers. North American demand for composite pipe rose in Q1 versus the prior several quarters as well construction activities in the U.S. and Canada moved upwards. Customer held inventory levels of composite pipe declined and some of Shawcor's largest customers return to work in the Permian Basin. We anticipate North American demand for our pipe products will remain similar to Q1, moving through the rest of 2021, with some upside potential if drilling rig count moves materially higher. Demand for composite pipe in certain international markets is showing promise for the second half of this year and beyond, with Shawcor securing a substantial pipe order early in Q2 for a client in the Middle East, which will be delivered over the course of the coming 24 months and several other meaningful project opportunities awaiting award. Our composite pipe business consumes significant volumes of polymer and glass fiber materials, and we remain vigilant around potential cost and availability changes in the coming quarters as global supply recover from recent shocks. During the first quarter, Shawcor's Automotive and industrial segment revenue rose $8 million or 14% compared to the fourth quarter of 2020, reaching a new record high and positioning the business to deliver pre-COVID performance levels during 2021. The continued strong recovery of this business from the extremely low levels experienced in Q2 of last year has been driven by a return of demand for heat shrink products within automotive applications and continued consumption of engineered wire and cable products by electrical utilities and communication providers, dynamics we expect to continue into 2022 and likely beyond. While the automotive marketplace has been challenged by a well-publicized shortage of microchips, at this time, we do not anticipate any material microchip driven disruption in demand for our products. However, the polymer shortages and potential cost increases I noted earlier, could modestly impact our heat shrink products business during Q2 and Q3, and our supply chain teams are working tirelessly to ensure any such impacts are minimized. Within the ShawFlex wire and cable business, our largest single expense is copper, a commodity which has experienced sharp price rises in recent months. Our teams have rapidly adapted quoted prices to incorporate these raw material cost changes. Looking further into 2021, it is reasonable to expect that revenue from our wire and cable products will be measurably increased by this pricing adjustment during the second half of the year. However, this incremental revenue will deliver little or no gross margin improvement. In summary, we expect our Q2 financial performance to be stronger than Q1, driven by seasonal increased shipments of composite tanks, higher levels of pipe coating activity and continued strong demand for automotive and industrial products. We believe that Q1 will mark the lowest earnings quarter for the Company this year, and we remain confident that Shawcor will deliver higher adjusted EBITDA in 2021 than in 2020; despite continued quarterly variations and the ongoing challenges of supply chain stress and lingering impacts from COVID. Our full year outlook remains subject to upward revision in the event North American onshore oil and gas activity experiences a more substantial acceleration, which would drive demand for Shawcor's composite pipe and girth weld inspection services. Turning to backlog, at the end of Q1, the Company's committed backlog of work to be completed within the next 12 months stood at $521 million, an increase of $68 million or 15% from the end of 2020, this growth was the result of very strong underground storage tank orders, lower-than-expected backlog burn within our pipe coating business as a consequence of project timing adjustments during the quarter and an increase in orders within other parts of the organization. As previously communicated, the timing of expected pipe coating project awards and anticipated backlog burn will almost certainly result in a decline in the Company's backlog during Q2 and Q3 before backlog moves upwards later in 2021, driven by new awards and the movement of longer-term committed work into the 12-month timeframe. Shawcor's bid number reflects the value of work where the Company has issued a firm price with proposed contract terms against an explicit scope of work with a defined timeline for execution. At the end of Q1, the bid balance was very similar to year-end 2020, remaining over $800 million and indicating the strength of potential future work beyond the coming 12 months. Included in bid are over $110 million of conditional awards pending the client's final investment decision, shawcor's budgetary number reflecting the value of indicative pricing submitted to allow customers to build a project budget ahead of commencing formal procurement activities, fell to approximately $1 billion at quarter end. Declining compared to the prior quarter, primarily due to the removal of a very large East African pipeline project where Shawcor no longer anticipates participation. Despite this quarter-to-quarter movement, the volume of mid- and longer-term projects are expected to move through final approval in the coming years remains robust and supports our outlook for a strong rebound in pipe coating activity during the latter part of 2022 and into 2023, which, when combined with a very constructive outlook for composite and automotive and industrial product demand, gives me great confidence that Shawcor will deliver substantial earnings growth in the coming years. Finally, we continue to evaluate our ESG performance and look for opportunities to impact not only through the products and services that we provide, but in managing our own footprint. One example of this is our Rheinbach facility in Germany, which, during the first quarter of this year, transitioned to a green power grid. The facility is now powered entirely by renewable energy sources, offsetting more than 1,219 metric tons of CO2 equivalent emissions over the course of the year. I'll now turn the call back to Steve for closing comments. Steve?
Steve Orr: Thanks Mike. Before we open up for questions, I'd like to make the following points. Having executed material cost reductions and the divestment of several noncore assets during 2020 in response to unprecedented global crisis, Shawcor now represents a substantially more cost-efficient organization with a smaller but more strategically located global footprint and a greatly reduced net debt position. While we continue to evaluate the proper strategic forward path, the Company is now well positioned to create and take advantage of opportunities in our core targeted markets going forward. Shawcor has a substantial volume of customer project commitments for execution in the next 12 months and expects to see favorable movement on several large capital projects during the later half of 2021 and early 2022, which will drive meaningful pipe coating activity for several years. My final point, we will see increasing demand across our book and term businesses, and our outlook for 2022 and beyond continues to be positive, underpinned by supportive fundamentals in the energy, transportation and infrastructure sectors. I'll now turn the call over to the operator, Jerome, and open it up for questions that you may have for Gaston, Mike, I or Meghan.
Operator: [Operator Instructions] Your first question comes from Aaron MacNeil with TD Securities. You may ask your question.
Aaron MacNeil: Steve, clearly, the lower pipe coating revenues in the quarter showcased some of the changes you've made to the cost structure. With the closure of the Leith facility, can you give us a sense of where you're at in terms of rationalizing the footprint? And I know a focus for you in the past has been the ability to offer redundancy and sort of the deadline security around projects through multiple facilities. I think I know the answer to this already, but can you maybe give us a sense of your ability to offer that security around project time line with the reduced footprint?
Steve Orr: Yes, for sure. Aaron, I think I'm going to let Mike answer the question. Mike is working on a daily basis as we go through different projects. And maybe he can give a better indication of our strategy and where we are on which pipe coating facilities and how we could still offer this execution certainty on projects that we bid. Mike, do you want to take the call -- the question?
Mike Reeves: Certainly, I think our footprint rationalization activity has been substantial over the last 12 months, as you noted. We've announced the closure of our Leith U.K. facility, which needs to finish the tail end of the Baltic pipe project, but then that closure activity will be completed before the end of the year. I wouldn't say we are complete with footprint rationalization, but certainly, we are substantially complete. We're still looking closely at the remaining international footprint to be sure that it's appropriate for the foreseeable activity levels regionally. And I'd say that while our footprint is substantially smaller than it was 12 months ago, our ability to provide our customers with the certainty and confidence to award us complex and substantial contract awards is still there. We have been very strategic in those sites that we have exited and those sites that we have retained. And the concentration of capabilities within our organization, particularly human capital into the smaller footprint means that we retain both the capability, the knowledge and the urgency necessary to meet our customers' needs.
Aaron MacNeil: Understood, and then maybe a related follow-up for Gaston. I know the timing is probably not totally certain, but I'm thinking about it in the context of the $55 million per quarter SG&A guidance, when will that Leith facility actually close? And will there be any restructuring in subsequent quarters as it relates to that facility? And if so, can you give us a sense of the magnitude?
Gaston Tano: Yes. So I think, first of all, that we do expect when we complete the Baltic pipe project later on this year, that's when the Leith facility will be closed. So -- and we will demo from that site. From a restructuring cost perspective, we do expect additional restructuring this -- in the following quarters here as we have other initiatives that we have planned and yet to announce. And you would probably see the same level of restructuring in the next couple of quarters in totality to the level of those two quarters added together, totality to what we experienced in Q1. If you exclude the gain on scrap material that is included in the level, so that's approximately around that $6 million to $7 million level for the back -- for the remainder of this year on restructuring costs at this point.
Aaron MacNeil: Got it. And just -- it sounds like you're not wanting to give a specific time line on Leith, but is it next week, is it December? Like any sense of the timing of that?
Steve Orr: Aaron, it all depends when the customer takes the last joint of pipe, we still have a commitment to finish the project.
Aaron MacNeil: Got it. Okay. That makes sense. In terms of the backlog. Can you give us a sense of how much of the quarter end backlog relates to new projects? How much of it relates to projects that were already won by Shawcor, but were previously outside the twelve month window? And perhaps you could also try to characterize it by pipe coating and composite segment backlog as well, if you can?
Steve Orr: So Aaron, I'm going to let Mike answer it again, but I'll just set it up a little bit. We really don't give granularity into the backlog for multiple reasons, mostly because of competition. We've always said there's two big components in the backlog, which is composite pipe, tanks, which you can look up what the backlog has been historically for that business and it was publicly traded, and we've been pretty clear, it's higher than it has been historically. And of course, pipe coating. So Mike, maybe you want to comment on what was burnt -- what went in and what remained?
Mike Reeves: Yes, certainly, Steve. So as we look at the backlog at the end of Q1, obviously, as we commented in the prepared remarks, there was a modest amount of that backlog that had been anticipated to be burned during Q1 but wasn't due to some modifications and project timeline. So that number is not a material number. There were a number of incremental projects secured that were added to that backlog. And then there was a, I would say, roughly equal amount that rolled into the 12-month timeframe over the course of the quarter. So, a real mixture of new and existing awards that supplemented the backlog during the quarter, and as Steve pointed out, we really prefer not to provide too much granularity by segment on that. But as we mentioned, the contribution of the composite tanks business to the backlog during the quarter was substantial.
Operator: Your next question comes from the line of Keith MacKey from RBC. You may ask your question.
Keith MacKey: Just wanted to start out maybe with the bid budget numbers, moved around a little bit in the last couple of quarters, but just wondering if you can comment on what you think your likelihood of converting those bid and budget numbers into revenue? Has that improved or stayed the same or gone down over the last quarter or two? Be helpful gave some color on that.
Steve Orr: Mike, I'll again hand it over to you.
Mike Reeves: Certainly, so I'm not sure that I would describe it as a material change in our likelihood of success. Looking at the bid number, the bid number quarter-to-quarter didn't change dramatically. Biggest changes there were simply things rolling from bid into backlog. The -- on the budgetary side, I would say our confidence level is slightly higher on that budgetary number of roughly $1 billion than it would have been on the nearly $1.5 billion number that we reported at the end of last quarter. And really, that's because of the primary change in budgetary, which was the removal of a very large East African pipeline coating project that we didn't anticipate being a substantial part of our business going forward. And during this quarter, we came to the conclusion that we were not going to participate in that project. So what's left in budgetary, excluding that East African project, are projects that we think we have a very good chance of winning. So I would say the budgetary percentage chance of win has probably gone up rather than down as we've moved between the two quarters. Hopefully, that's helpful.
Keith MacKey: Got it. And one more from me. So the impacts of the weather on margins in the quarter and the impacts of COVID disruptions on the quarter, maybe if you can sort of segregate those two on absolute impact and what percentage of each, or how much do you expect to continue into Q2 with the lingering supply chain impacts? Just kind of wondering if it was like 50% weather that's now going to be over? Or is it like 20% weather, 80% COVID supply chain that might continue?
Steve Orr: Mike, do you want to continue?
Mike Reeves: I will. I will. So when we think about Q1, and memories fade quite quickly, the severity of the winter weather impacts in the Southern U.S. was really quite spectacular. So when we look at our Q1 results, I think you should assume that there was somewhere between $2 million and $3 million of incremental cost that came from underutilization of our resources directly related to those weather impacts. So we're talking there about underutilized, in some cases, completely paused production activity in our southern U.S. manufacturing sites, which would include both pipe coating and composite tanks, but also having field crews that were unable to go to work for a period of time there. So some human costs as well that are unrelated to manufacturing. I'd say the rest of the impacts that we saw during Q1 from that winter weather. So some modest delays of revenue generation are likely to wash out over what's left of the year. So I think it's that $2 million to $3 million of underutilization costs that hit us in Q1 that is unlikely to recur. The direct impacts of COVID in terms of facilities being unable to function because of COVID were very limited during the quarter. But as we've highlighted, the supply chain challenges are certainly there and will certainly be there during Q2, and we would expect will become less and ideally will move to almost nonexistent as we move through Q3. It's very difficult to segregate the impact to supply chain of COVID versus winter weather. I'd say that they are equally involved in the process. But as we've stated during the prepared remarks, then I'll say again here, Q2 will be impacted, Q3, I think the impact from supply chain will be less substantial. And given what we can see at this point in time, we would expect that the supply chain scenario returns to a more normal state as we move into the fourth quarter or certainly in the late part of 2021.
Operator: Our next question comes from Tim Monachello with ATB Capital Markets. Your line is open. You may ask your question.
Tim Monachello: My first question here just on composite pipe demand. You noted in the prepared remarks that you've seen a slight improvement there. I'm curious if you're seeing any substitution from your customers away from steel to composite, just given where steel prices are going?
Mike Reeves: Mike, you visited the Permian just recently, you want to know -- maybe you can give some color on that as well?
Mike Reeves: Absolutely, I think to restate, we certainly saw an improved level of demand for our composite product, composite pipe products, during the first quarter when you compare it to the prior three quarters. Demand is still substantially below where it was in the first quarter of 2020 and in periods prior to that. What we've seen is certainly a modest increase in activity in terms of total number of rigs, total number of new wells. But perhaps more importantly, we've seen that the pre-existing inventory levels that our customers were holding as we enter 2021 has been worked down in many cases, and they're now in a circumstance where they need to purchase, to meet their activity demand moving forward. So that's something that gives me confidence that the levels of activity that we saw for composite pipe in Q1 of this year will be sustained. Obviously, we will work very hard to find opportunities to expand beyond that. But at this point, I would guide you to a repeat of the Q1 levels as we work our way through Q2 and beyond. Really, for us, the most important thing is which customers are active. There is a subset of the customer population that are -- have fully embraced the use of composite pipe. They tend to be the larger public companies, which, to this point, have tended to be a smaller participant in the rig count increase, although we did see some of those customers go back to work to a modest degree during Q1. I think it's reasonable to believe that we can continue to convert customers from steel to composite pipe. But it certainly doesn't happen overnight, and it's not something that I would expect to cause a meaningful or material change in demand for our product in the coming quarters. So hopefully, that gives you some insight.
Tim Monachello: Yes. No, that's very helpful. In the automotive and industrial segment, there's a big uptick in revenue quarter-over-quarter. And you mentioned the copper price inflation. So revenue is up like 15% quarter-over-quarter. If you took out the impacts of copper prices, how much do you think revenue would have been up?
Steve Orr: Gaston, do you want to --
Gaston Tano: Sure. I think we kind of -- we don't break it out. We don't have that breakout. It's not that significant in this quarter. There was some increase. It will have a greater impact going forward from the copper increases that exist. So the majority of what you see there is increased demand for automotive and also for cable and wire products.
Tim Monachello: Okay. Do you expect that, that level on a normalized basis, ex-inflation, is a sustainable level for the rest of the year?
Gaston Tano: So I think we continue to see high demand for automotive segment for the remainder of this year at this point in time. A lot of it is being driven from the -- our customers spending more on platforms, electrification of vehicles, and then, of course, infrastructure spending, as I spoke about in my remarks about communication, transportation, nuclear refurbishment. So we see a healthy growth for the remainder of this year for automotive and industrial segment.
Steve Orr: But just to be clear, we should expect, in automotive and industrial, although it wasn't present in 2020, that Q4 will have a year-end softness.
Gaston Tano: It traditionally has.
Steve Orr: As it traditionally has, I think we're going to go back to kind of the normal profile of the business. So Q4 is normally the lowest quarter for that business, although it wasn't in 2020, but nothing was really normal in 2020.
Tim Monachello: Okay. That's helpful. And Steve, in your prepared remarks, you mentioned a large -- I think you said it was the largest cable and wire contracting company history. I'm wondering, if you could expand on that a little bit?
Steve Orr: Mike, do you want to say a few words on kind of the market, it was based on? I think we talked about it.
Mike Reeves: Happy to do that. So obviously, we're not in a position to provide too many specifics here, but this was an order that went into the communications marketplace. So as we think about the continued build-out of 5G in multiple countries, the demand for premium highly engineered wire and cable continues to be there, and we believe we have positioned ourselves well to participate in that market as it continues to evolve. This particular order was not big enough for us to press release it as a stand-alone business. So that gives you a feel for the scale, but certainly was substantial and the result had a lot of hard work from many, many people inside the Shawcor organization. And we continue to be excited by the opportunities that the communications marketplace offers us, in addition to the traditional strength of this organization in supplying highly engineered products into other energy and infrastructure marketplaces.
Tim Monachello: Okay. That's helpful. And in the press release, it says something about Canadian 5G. Is this contract going to lead into more demand from the same customer? And do you think that you can expand that 5G demand network outside of Canada? Obviously, you guys have a big manufacturing presence in Canada.
Mike Reeves: So generally, I believe we have opportunities to participate at a more elevated level in the 5G build-out. Obviously, from geography to geography, there are different requirements in terms of certification, and in some geographies, there is a requirement that you produce locally to participate in the local market. So I would caution you that our infrastructure of manufacturing being located where it is, gives us certain advantages in certain markets and perhaps disadvantages in others. So there won't be a uniform growth, and we have to be thoughtful about which customers in which geographies we work with most closely.
Tim Monachello: Okay. And then just the last one for me here is just around the weather impacts in the quarter. I just I'm wondering if you can quantify just on the revenue basis, how much you think revenue would have been higher in the first quarter if it hadn't been for supply chain and weather disruptions in the sort of Gulf of Mexico region, Southern U.S.?
Steve Orr: Gaston, do you want to --
Gaston Tano: Yes. So I think, listen, we won't -- it's not -- we didn't give quarterly guidance, as you recall, for Q1. We did expect a big step down from what we experienced in Q4. But I think, overall, it was really related to the pipe coating activity and that lower expectation that we had. And I mean, it's -- Tim, we don't want to share the details, but I can tell you that it was still -- if you recall, we did say that Q1 was our lowest quarter and that we would have further quarters in respect to our guidance that we previously provided.
Tim Monachello: Okay. So how should we think about the second quarter because you'll have some revenue catch up? Do you expect pipe coating revenue to be higher in the second quarter as a result of that than the third quarter?
Gaston Tano: So we're talking -- so it will be higher than the second quarter will be higher than the first quarter. I think we've been very clear that it will be a good quarter for pipe coating. But I think it's uncomfortable for us to tell you what the third quarter could be because the projects could move ahead or go a little bit delayed into the fourth quarter. But certainly, line of sight right now, projects that are booked overlap from Q1 into Q2. Q2 will be a good quarter for pipe coating.
Steve Orr: Yes. But I think we can also put into another goal post that, it won't be as high as it was in Q4.
Operator: [Operator Instructions] Your next question comes from Matthew Weekes with IA Capital Markets.
Matthew Weekes: I think most of them might have been asked at this point, but I was just wondering, you had mentioned that $75 million has been repaid on the credit facility subsequent to the quarter. It was kind of discussed last quarter that you weren't sure how much was going to really be repaid. Investments had to be made in working capital and stuff like that. Was the amount of the repayments more or less than you would have been expecting a few months ago?
Steve Orr: That's a tough question. We're busy doing all the numbers at that point in time. I think it does highlight our confidence in our outlook and liquidity position for the remainder of this year. And our ability, if the need occurs, that we still have access to the credit facility if there's a significant need for additional funds. But I think it really drives to the level of liquidity that we see look going forward and our ability to stay within our cash flow needs for our current capital -- working capital requirements. But of course, those could change depending on the demand outlook that continues to evolve for our businesses.
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn the conference back to Steve Orr.
Steve Orr: I'd like to thank everyone for their participation and interest in joining us in today's call. We look forward to talking to you again at the close of next quarter. So thank you. Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day. You may all disconnect.